Operator: Good afternoon. First of all, thank you all for joining this conference call. And now we will begin the Conference Call by the Fiscal Year 2019 First Quarter Earnings Results by SK Telecom. This conference will start with a presentation followed by the divisional Q&A session. [Operator Instructions] Now we shall commence the presentation by SK Telecom.
Jeong Hwan Choi: Good afternoon. I am Jeong Hwan Choi, the IRO of SK Telecom. Today's conference call will consist of the presentation on the earnings results for Q1 of 2019 and the future of management plans and strategic direction by Poong-Young Yoon, CFO and Executive Vice President of the Corporate Center followed by a Q&A session. Today's conference call will provide consecutive interpretation, and we also have here with us executives from relevant business divisions to help deepen your understanding. Before we begin, we want to remind you that all forward-looking statements are subject to change depending on the macroeconomic and market situations. Let me now present our CFO.
Poong-Young Yoon: Good afternoon. This is Poong-Young Yoon, CFO of SK Telecom. Let me first discuss the consolidated earnings highlights for Q1 of 2019. Consolidated revenue for Q1 2019 recorded KRW 4,334.9 billion with the MNO revenue fall slowing and becoming more stable as well as the security business including ADT Caps and SK Infosec contributing to consolidated revenue. It increased by 3.7% year-on-year. Due to the revenue seasonality of the previous quarter, it decreased by 0.4% quarter-on-quarter. Consolidated operating income recorded KRW 322.6 billion, similar to that of the previous year, thanks to marketing cost efficiency and improved results of subsidiary companies offsetting the decrease in MNO revenue. Through differentiated marketing, 11ST succeeded in securing profitability reaching a quarterly BEP. And the security business also contributed to consolidated earnings by maintaining a stable operating income. Compared to the previous quarter due to the previous one-off loss as well as SK Infosec earnings newly being reflected, consolidated operating income increased by 43.2%. Net income recorded KRW 373.6 billion, down 46.1% year-on-year and down 21.3% quarter-on-quarter due to lower equity method income on SK Hynix. Let me now move on to major business achievements. On the 3rd of April this year, SK Telecom opened the era of hyper innovation with 5G with the world's first 5G subscriber. We have identified media, AR and VR and games as the areas that will go through the most dramatic change in user experience through 5G as well as areas that our customers are most looking forward to, and we are launching related services accordingly. First, along with our 5G service launch, we have opened the 5GX section in oksusu where customers can enjoy 4K UHD-level content, VR and other 5G-exclusive video content. We are also preparing providing real-time multi-view and live AR-VR broadcast of League of Legends international tournaments loved by esports fans worldwide as well as immersive VR content for K-Pop idols. By offering such unique content, we will introduce you to the completely new 5G service and its possibilities. In media, with IPTV subscribers continuing to increase at a steady pace, we have secured yet another foundation for growth. Following the MOU signed in February, on the 26th of this month, SK Telecom signed an acquisition agreement to acquire t-broad, the nation's second largest multiple system operator. The merged entity will grow into a competitive media platform based on the 8 million pay-TV subscriber base while also contributing to the enterprise value and consolidated earnings growth. Building on the MOU to create an integrated OTT service signed this past January, we had entered into an official contract in April, thereby taking another important step to launching a new OTT company. The newly-launched service will grow into the nation's leading pay subscription-based OTT centering on the monthly subscription business plan with a cutting-edge media technology-based premium content offering. Furthermore, through efforts such as establishing an esports joint venture and forging a partnership for a comprehensive cooperation in the media industry with the Comcast group and cooperating with the 3 terrestrial broadcasters on 5G-based new media businesses, we have secured a solid support system that will allow us to strengthen our media competitiveness. As I explained last quarter, we will continue to expand our areas of business and create new growth opportunities in our media business in the future. In April this year, we signed a deal to acquire Incross, a company specializing in digital advertising. We will prepare ourselves for the video advertising market that will get a boost from 5G and seek stronger synergies with our various business models, including T Map, 11ST and the integrated OTT service. Moving on to security. Through stronger sales power and product offering made possible by utilizing the assets of the SK ICT family, not only the existing security dispatching business grew, but we also saw an even growth in new businesses such as parking and home security. As we continue to stay focused on the main security business, we will expand new business areas such as commercialization of new ICT-based parking services as well as yield greater synergy in the physical and information security businesses through cross-selling with SK Infosec and converged security product development. Lastly, our commerce business recorded a quarterly surplus, thanks to 11ST efforts to move away from unhealthy price and delivery competition and aiming to become a commerce portal through healthy growth. We will focus on ways to increase the number of returning customers centering on the elements of fun, information and participation and concentrate our resources in enhancing customer convenience. Meanwhile, to increase the inter-business synergy in the commerce business, SK Stoa which is in charge of the T-commerce channel, parted with its previous parent company, SK Broadband, and became a subsidiary of SK Telecom. 11ST and SK Stoa will cooperate closely to achieve both profitability and growth going forward.
Poong-Young Yoon: Investors and analysts, we ask for your continued support for our serious efforts to enhance the enterprise value. Thank you.
End of Q&A: